Operator: Welcome to the Powell Industries Earnings Conference Call. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Ryan Coleman, Alpha Investor Relations. Please go ahead.
Ryan Coleman: Thank you, and good morning, everyone. Thank you for joining us for Powell Industries conference call today to review fiscal year 2025 fourth quarter and full year results. With me on the call are Brett Cope, Powell's Chairman and CEO; and Mike Metcalf, Powell's CFO. There will be a replay of today's call, and it will be available via webcast by going to the company's website, powellind.com, or a telephonic replay will be available until November 26. The information on how to access the replay was provided in yesterday's earnings release. Please note that information reported on this call speaks only as of today, November 19, 2025, and therefore, you are advised that any time-sensitive information may no longer be accurate at the time of replay listening or transcript reading. This conference call includes certain statements, including statements related to the company's expectations of its future operating results that may be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties and that actual results may differ materially from those projected in these forward-looking statements. These risks and uncertainties include, but are not limited to, competition and competitive pressures, sensitivity to general economic and industry conditions, international, political and economic risks, availability and price of raw materials and execution of business strategies. For more information, please refer to the company's filings with the Securities and Exchange Commission. With that, I'll now turn the call over to Brett.
Brett Cope: Thank you, Ryan, and good morning, everyone. Thank you for joining us today to review Powell's fiscal 2025 fourth quarter and full year results. I will make a few comments and then turn the call over to Mike for more financial commentary before we take your questions. Our fourth quarter marked a solid finish to another record year for Powell. Compared to the fourth quarter of last year, we achieved gross profit dollar growth of 16%, revenue growth of 8% and the generation of $61 million in operating cash flow. Our teams delivered a record quarterly gross profit of 31.4%, which was 215 basis points better than the prior year and a record quarterly earnings per share of $4.22 per diluted share. Our fourth quarter performance is a testament to the ongoing high level of project execution across all of our operations, combined with the steady progress against our strategic goals. The revenue profile of fiscal 2025 was driven by the strong growth in our nonindustrial markets, including both the Electric Utility and our Commercial and Other Industrial sectors. These 2 markets accounted for 41% of our revenue in fiscal 2025 and currently comprise 48% of our total backlog. Five years ago, these 2 market sectors accounted for just under 20% of our backlog as our focused effort to diversify the business and grow in these strategic markets has produced important results for the future of Powell. The Light Rail Traction market also had notable contributions during the year, with revenue nearly doubling compared to the prior year as we experienced increased levels of commercial activity in this end market throughout fiscal 2025 versus the prior year. We booked $271 million of new orders in the quarter, which was roughly 1% higher than the prior year. There were no mega projects in the quarter as our order book was comprised of a higher volume of small- and medium-sized projects. For the full year, we booked $1.2 billion of new orders, 9% higher than fiscal 2024. We finished the year with a backlog of $1.4 billion and registered a book-to-bill of 1.0x for the full year. Today, our backlog and project schedules are well balanced across the markets and geographies we serve. We also benefit from a healthy mix of large projects as well as core smaller and medium-sized projects that help maximize productivity across our manufacturing plants. With that said, we have begun to see some divergence emerge as we close out 2025 across our key end markets. We believe this is reflective of a global economic environment that is operating at very different speeds, driven by country, region and sector imbalances. Overall, the quality and visibility into future order activity continues to be very good, with strength driven by Electric Utility, data center and natural gas market opportunities, including large-scale LNG and related natural gas projects, which is offsetting some softness in portions of our traditional oil and gas and petrochemical markets, such as refineries and polyethylene and polypropylene facilities. We continue to actively review and evaluate our available manufacturing capacity. In August, we announced the next phase of our $12.4 million investment that will add an incremental 335,000 square feet of productive capacity at our Jacintoport facility in Houston. While the Jacintoport yard can be utilized to support any of our customers and market sectors, this investment is primarily focused on supporting our Oil and Gas customers, particularly the incoming wave of anticipated LNG project development work that we expect to come to market over the next 3 to 5 years. The production and export of U.S. LNG is clearly going to play a critical role in the global energy landscape, and this investment ensures that we continue to advance our industry-leading role in the fabrication of engineered-to-order power distribution solutions for critical applications. This announcement brings our cumulative investment at the Jacintoport fabrication yard to approximately $20 million over the past 8 years and nearly $40 million across our 3 Houston manufacturing facilities to support our organic growth plans. We expect this phase of the Jacintoport expansion to be completed by the second half of fiscal 2026. We continue to evaluate our entire manufacturing footprint for opportunities supporting growth and expansion, along with options that may further improve productivity. We believe that investments like these are the best use of our capital as the project time lines and execution, return on capital and payback periods are highly compelling for our shareholders. On the inorganic side, we closed the acquisition of Remsdaq during the fiscal fourth quarter. We continue to be incredibly excited around the future of our electrical automation strategy as we now work to complete the integration of the Remsdaq team into the larger Powell family. We are already experiencing commercial interest around Remsdaq's products across the multiple markets that we serve, including Electric Utility as well as data center applications within our Commercial and Other Industrial market sector. Our teams began quoting Remsdaq's products and technology in North America during the fourth quarter, introducing these products to customers on this side of the Atlantic as well as integrating their existing commercial efforts in the U.K. with Powell's customer base there. We are confident in our ability to scale our total Powell automation offering at margin-accretive economics in the coming years. As we enter our fiscal 2026, the Commercial environment for each of our end markets remains positive as we are optimistic that the momentum we built throughout our fiscal 2025 will continue into the new year. The fundamentals in the Oil and Gas market support our expectation for continued order strength. Specific to the fundamentals of the U.S. natural gas market, the pipeline of LNG projects that we are tracking continues to support our expectation for continued momentum for both greenfield and brownfield orders. Activity within our commercial and other industrial market also remains healthy, and our progress to further penetrate this market is progressing well. Recent data points and industry commentary by data center operators continue to identify power availability and reliability as key constraints to capacity growth and AI data center expansion. As a critical supplier of power distribution and control equipment, we continue to see elevated levels of activity as operators execute their capacity growth plans. Opportunities are growing in both size and volume as well as product applications as we expand our presence in this strategic market. The outlook for our Electric Utility market remains robust and balanced across the customers and geographies that we serve. The growing wave of investment in electrical infrastructure to meet growing demand levels is broad and durable, and we expect another strong year of activity in 2026. I want to thank the entire Powell team for another record year for their commitment to Powell and our customers and suppliers alike by helping to further our unique position as a supplier of critical electrical distribution components to a growing array of applications. With that, I'd like to turn the call over to Mike to walk us through our financial results in more detail.
Michael Metcalf: Thank you, Brett, and good morning, everyone. I will begin first with the fiscal fourth quarter business results and then move to the total fiscal year 2025 results. Revenues for the fourth fiscal quarter of 2025 increased by 8% to $298 million compared to the same quarter in fiscal 2024 of $275 million, and was also higher sequentially by $12 million, driven predominantly on the strength across our electric utility sector. Net orders for the fourth fiscal quarter were $271 million, $4 million higher than the same period 1 year ago, driven by strong year-over-year activity in our commercial and other industrial, Light Rail, Traction power and Electric Utility sectors, which was offset by lower commercial activity across our petrochemical and oil and gas sectors. Overall, we remain encouraged by the level of commercial activity across all the end markets that we participate in. Considering this level of new order bookings, coupled with the sustained strength of our top line performance, the book-to-bill ratio was 0.9x for the fiscal fourth quarter and 1.0x for the full year fiscal 2025. Reported backlog at the end of fiscal 2025 increased to $1.4 billion, $41 million higher than the end of fiscal 2024 on an increasing proportion of Electric Utility, commercial and other industrial and Light Rail Traction power backlog, partially offset by lower petrochemical backlog levels versus the prior year. As we exit fiscal 2025, our Electric Utility and Oil and Gas sectors each now make up 1/3 of our total backlog. Overall, we are very pleased with both the execution across the business, driving record revenue levels for the year as well as our orders performance continuing to grow and diversify our backlog position as we enter fiscal 2026. Compared to the fourth quarter of fiscal 2024, domestic revenues of $239 million increased by $4 million or 2%, while international revenues increased by 38% to $68 million on higher volume across most of our international manufacturing and service locations. From a market sector perspective, revenues from our Petrochemical and Oil and Gas sectors were lower by 25% and 10%, respectively, on challenging comparisons resulting from the large industrial project orders that were booked in fiscal 2023 and executed predominantly in fiscal 2024. In the fourth quarter of fiscal 2025, the Electric Utility sector doubled versus the same period 1 year ago, while our Light Rail Traction sector increased by 85%, albeit on a smaller revenue base, and the Commercial and Other Industrial sector was lower by 9% on project timing. We reported $94 million of gross profit in the fiscal fourth quarter of 2025, which was $13 million or 16% higher than the same period of fiscal 2024. Gross profit as a percentage of revenues increased by 215 basis points to 31.4% of revenues in the current fiscal quarter. The higher quarterly margin rate is primarily attributable to continued strong project execution across the business, delivering favorable project closeouts, resulting in an incremental 100 basis points to the fourth fiscal quarter margin rate. Additionally, we have maintained pricing levels and combined with strong throughput across the business, which is driving incremental volume leverage and productivity, these variables have created a tailwind to margins across most of our operating divisions. Selling, general and administrative expenses increased by $5.5 million or 25% on higher levels of compensation expenses as well as the Remsdaq acquisition costs. SG&A expenses were $27 million in the fiscal fourth quarter or 9.1% of revenue compared to 7.8% of revenues a year ago. In the fourth quarter of fiscal 2025, we reported net income of $51.4 million, generating $4.22 per diluted share compared to net income of $46 million or $3.77 per diluted share in the fourth quarter of fiscal 2024. We generated $61 million of operating cash flow in the fiscal fourth quarter, driven mainly on higher earnings during the period. In August, we completed our recently announced business acquisition of Remsdaq Limited for a total consideration of $18.4 million, which includes cash acquired of $4.6 million. This transaction had a net cash impact of $11.5 million in the fiscal fourth quarter with contingent payments of roughly $2 million to occur in future periods. In addition, investments in property, plant and equipment totaled $1.8 million during the fiscal fourth quarter as we invest in capacity and productivity projects across the business. As we recently announced, we've embarked on a critical project that will expand our capacity at our offshore yard in Houston, further strengthening Powell's position in supporting the production and export of U.S. LNG. This roughly $12 million investment falling predominantly during fiscal 2026 will help to ensure that we can confidently fulfill delivery commitments to our customers. Now recapping our total year fiscal 2025. Revenues of $1.1 billion increased by $92 million or 9% compared to fiscal 2024. Notably, our Electric Utility and the Commercial and Other Industrial sectors were higher versus fiscal 2024 by 50% and 19%, respectively, while the Petrochemical sector was lower versus the prior year by 19%. Orders were $1.2 billion, 9% or $94 million higher versus fiscal 2024. Overall, we've been very pleased with the activity across all the end markets that we serve and the resulting orders mix through fiscal 2025. Gross profit as a percentage of revenues grew 240 basis points year-over-year to 29.4% or $51 million higher than fiscal 2024. The margin rate continues to benefit from a stable pricing environment, exceptional project execution, coupled with incremental volume leverage and successful operational and commercial strategies that continue to address the macro inflationary challenges across the supply chain. Selling, general and administrative expenses were higher by $11 million versus the prior year. Overall, net SG&A expenses as a percentage of revenues were higher versus the prior year by 20 basis points at 8.6% of revenues in fiscal 2025 versus 8.4% in the prior year. In fiscal 2025, research and development spending increased $2 million or 17% versus the prior fiscal year as we continue to make progress on new product design and development. Total R&D spend in fiscal 2025 was $11 million or 1% of revenues. We reported net income of $180.7 million or $14.86 per diluted share in fiscal 2025 compared to $149.8 million or $12.29 per diluted share in the prior year. Operating cash flow generated in fiscal 2025 was $168 million versus $109 million in the prior year, driven by higher income generated versus the prior year. In addition to the acquisition of Remsdaq, which was a net cash, cash usage of $11.5 million in fiscal 2025, total capital spending on property, plant and equipment was $13 million in fiscal 2025, $1 million higher than the prior year as we completed the expansion of our breaker manufacturing facility in Houston, which spanned across both fiscal 2024 and fiscal 2025. At the end of fiscal 2025, we held cash, cash equivalents and short-term investments of $476 million, $118 million higher than our fiscal 2024 year-end position, reflecting the sustained level of commercial activity across our end markets, coupled with the strong execution across the business. The company holds 0 debt. Looking forward, we are confident that the strong commercial momentum we experienced across our key end markets in fiscal 2025 will carry into fiscal 2026. We believe that the composition and the quality of the current backlog, combined with the sustained business profitability supported by a stable pricing environment, volume leverage and disciplined project execution will provide meaningful tailwinds for continued performance. In addition, the company's strong liquidity position and solid balance sheet support significant financial flexibility, positioning Powell for another successful year in 2026. At this point, we'll be happy to answer your questions.
Operator: [Operator Instructions]. And your first question today will come from John Franzreb with Sidoti & Company.
John Franzreb: Congratulations on another impressive quarter. Gentlemen, I'd like to start with the current operating environment. Can you talk a little bit about if there's been any meaningful change in the competitive landscape or maybe the pricing environment today versus, say, a year ago?
Brett Cope: John, thanks again. It's Brett. So if you -- try to answer each of our 3 main sectors. As I noted in the prepared comments, Oil and Gas is still a very good healthy market for Powell. We are seeing some parts of that subsector of that market like in Canada, the North Sea of the U.K. with policy in the U.K., a little softer, not as much as we might see day-to-day, but then other parts of the market, the gas, as we talked a lot about in the last couple of years. But more recently, utility taking another step up. That's a market we strategically have been pursuing for years. And now with the increased demand part and then the C&I part with data center. I would say that market is more demand-driven speed, maybe a little less price sensitive, whereas the other part of the market that -- the aforementioned subsectors of oil and gas, because it's a little softer, a little bit more price sensitive. So it's a tale of different scenarios regionally by different sectors right now. And so it's a little different, not just kind of one ubiquitous market across the board.
John Franzreb: That makes sense. That makes sense. I'm kind of also curious about your thoughts about seasonality, especially considering the backlog profile. I know in years past, it's been de minimis to volatile. How would you kind of characterize how should we expect the upcoming first quarter to kind of lay out given the current job outlook?
Michael Metcalf: Yes. John, this is Mike. I'll address that one. As we always see in every fiscal year, our first quarter of fiscal is the October, November, December with the holidays and such. We do anticipate that sequentially, as we exit fourth quarter and report our first quarter, it seasonally is softer due to what I just mentioned. That said, as we look forward on a total year basis, we still are very optimistic about next year.
John Franzreb: Okay. All right. And just one more question, I'll get back into queue. Regarding the SG&A, you mentioned there is maybe some onetime M&A expenses in the quarter. How big were those expenses, just so I can maybe rightsize SG&A on a go-forward basis?
Michael Metcalf: Yes, sure. So on a discrete 4Q basis, John, we were up about $5 million year-over-year. Roughly $3 million of that was due to compensation -- variable compensation items and $2 million -- a little less than $2 million was acquisition-related, legal, valuation services.
Operator: The next question will come from Chip Moore with ROTH Capital.
Alfred Moore: Maybe just first for me, C&I, it sounds like you feel very good about the trends there. I think you called out opportunities growing and maybe some urgency on price. Just with the modest decline in the quarter, was that largely timing or anything to call out there? And then on the go forward, how are you viewing the opportunity in some of the newer products you're offering there?
Brett Cope: Yes. I think on the quarter, just timing. If you look at that sector -- Chip, Brett, by the way, the opportunities are clearly growing, both for things that we have noted on the earlier calls that we're aspiring to bring to market to get inside the 4 walls of the data center. But also on the outside, we continue -- that's an area we are always able to play. But on both fronts, we're making good progress and the size and breadth of the opportunity for Powell is clearly growing. I just look at the last quarter's activity, it's -- there's a lot of people, a lot of conversations going on, a lot of what ifs. And so -- and we're quoting some pretty big things today, and it's grown really nicely over the last 2 years for us.
Alfred Moore: Got it. And Brett, I guess, the corollary on utility, that phenomenal growth this quarter. You've been working on that for a long time. But I guess, sustainability of growth there, the trends you're seeing, obviously, it looks like in backlog, demand is quite healthy, but any more color there?
Brett Cope: Really. This is -- this particular strategy around utility that we're working hard at for well over a decade, I'm super pleased with, and I appreciate the question. Mike and I were just talking before the call today, if you look at oil and gas in the backlog profile to utility, they're equal weighted. So we want both. We absolutely love our oil and gas customer. We have decades of relationships we're going to own, and we're going to build that same profile with the North American and U.K.-based utility customers. So -- we think the demand profile looks good. That includes both where we have been fighting our way into the distribution side of the substation. And now with this kind of increase in demand, we're going to do everything we can to grab as much of that as we can as well. This is a great growth sector for Powell on the distribution side with the electrical automation strategy and the service strategy. So all 3 of our strategies play here.
Alfred Moore: Great. And sorry, maybe one more on C&I data center and maybe kind of technical, but Brett, I'd be curious to get your thoughts if you have any -- a lot of buzz around 800-volt DC architectures down the road. Just do you guys play there? Or what would be a potential role? And how do you see that evolution?
Brett Cope: Yes. We -- a couple of the folks that we're meeting -- we've got the DC switchgear that we provide to traction. So we have a DC breaker today that fits. We have a design on a rectifier. We would have to do some R&D around that to apply it to a DC structure for the data centers that the power levels are talking about. So if you look at how the future DC might develop, you still have the AC tie. So at the power levels today, we'd have the 38 kV primary switchgear, which would still be the same tomorrow at the DC. But then as you get inside the DC distribution of the data center potential on the architecture, the Powell technology would play. We'd have to do a little investment around the rectifier as a solution. There are other solutions to -- as there are frequently when you're doing the distribution scheme into any facility. But -- we've had a few folks up that are in the space, seeing what we do and how we do it and chats about what we'd have to do to finish off a few things to get it where they want it to be for tomorrow. So we're in that conversation.
Alfred Moore: Great. Appreciate that. And maybe, Mike, for you, just back to the margins and pricing. I think you called out you feel good on backlog and sustainability. Just remind us, I think you called out 100 basis points this quarter, but how should we think about '25 sort of normalized? Is sort of 28% the right ballpark? Or how are you viewing that?
Michael Metcalf: Yes. I mean, look, it was another really outstanding quarter operationally. We generated roughly 100 basis points of margin due to project closeouts. And from a year-to-date perspective, exiting the year at 29.4% on a year-to-date basis, this had about 125 basis points of project closeouts. So when we think about the sustainability and considering the margins that we see in backlog, we do anticipate a continuation of solid project execution through next year. And considering this margins in the upper 20s for the total year of fiscal 2026 are realistic.
Operator: Next question will come from Jon Braatz with Kansas City Capital.
Jon Braatz: Brett, a question on the LNG market. It's been about 9 months, 10 months since the pause has ended. And I suppose some would have thought some LNG projects would have reached FID by now. And as you look at those projects, is there -- are you surprised they haven't reached -- some haven't reached FID yet? Or is there a little bit of a hang up for some reason?
Brett Cope: How to answer this question. It's a very -- as I've said in other calls, it's extremely active. It has taken a little more time, to your point, Jon, to spin back up. I think given -- again, just sitting as Brett, looking at the macro picture with each model and how they're going to market, where their cargoes are going to go, who they're signing up in their production agreements. I kind of get a feel for where -- why some of the delay, but I'm not overly worried about it. I still feel really good about the fundamentals on many of the projects. And it is -- I didn't have much in my comments on the prepared side on the space other than the general comment that we feel still really good about the sector of gas. And I just reiterate that with you on the question here, it's very strong activity, and I feel good the investment we're making in offshore is going to be very well timed for what's going on, on this next wave.
Jon Braatz: Okay. Okay. A couple of questions on the end markets. In the C&I segment, beyond data centers, what might be active in that area? And then also in the Traction area, orders were up significantly. What are you seeing there that's driving the business in Traction?
Brett Cope: Yes. So on C&I, yes, clearly, the main driver of that is data centers. And it's -- as I noted earlier with John Franzreb, it's a very active area, and we are seeing some nice opportunities grow. The balance of that would be other industries that we've always had presence, but never really, I'd say, overly hunted. Mining has been one of note. We occasionally see a cycle on pulp and paper integrated facilities. They have a lot of power usage and moving a lot of fluids and pulp slurries and so that uses a lot of medium voltage. And so that kind of rises and fall. And then occasionally, we'll see some other commercial activities sneak in through an E&C or a distributor because some of that market to distribution that we're getting exposed to, we're seeing -- occasionally, we'll see some broader industries that we might not have seen as directly in our Powell sales channel.
Jon Braatz: So mostly data center still.
Brett Cope: It is largely driven by data centers, and it is growing for us for sure.
Jon Braatz: Yes, okay.
Brett Cope: The Traction piece, yes, it's a nice story. Look, I always said -- and we talked about it in the company. I love Traction. I think we do it very well. The DC side, we've done it now for nearly 30 years. We're good at what we do. There's a lot of people play in this market, but there's a lot of people that sort of put the fingers in this market and on the contracting side and muddy it up. And there's a reason there aren't that many people that play on the gear side because by the time it gets to a company like Powell, got all kind of crazy terms and things that just make you wonder. So there was a lull last couple of years. It does -- it takes a long time to get these projects to market just because of the, what I'll call the government side, if you will, of the contracting. But there is a broader set of projects that are getting to market now around the East Coast, Ramada up to New York, over Chicago and even in Canada, there's a number of projects that are sort of just timing out at the same time, and we see some other things continuing on into next year, quite frankly so.
Jon Braatz: Okay. Okay. Good. A question for you, Mike. In terms of SG&A, as we look forward, obviously, in the fourth quarter, you had some onetime items. But as you continue to see the robust revenue line and the progress that you're seeing there, do you think you can leverage SG&A costs? Or would you think that maybe we'll still see a little bit faster growth in those expenses over revenue?
Michael Metcalf: No, Jon. I think you'll see leverage, especially when you compare it to what we reported in our fourth fiscal quarter with those unusuals. When you look at the year-to-date numbers, we reported 8.6% of revenues in the total year '25, that compares to 8.4%, 20 basis points, as I noted in the prepared comments, 24 basis points above where we ended 2024. So relatively flat, and that also has the acquisition cost. So yes, nothing crazy that we see going forward.
Jon Braatz: Okay. Any acquisition costs in 2026 from the most recent acquisition, obviously?
Michael Metcalf: No. Those all were incurred in 2025.
Operator: Next question is a follow-up from John Franzreb of Sidoti & Company.
John Franzreb: Yes. I guess I'm still thinking about the closeouts. And I'm wondering how you would characterize 2025 compared to prior years. Is this kind of a normal level of activity, maybe on a percent of revenue basis or how we should think about it? I just want to get a bit of handle on that.
Michael Metcalf: Yes. John, this is Mike. Yes, closeouts, I would say, in 2025 were a little bit heavier than in prior periods. As you'll see in our K that will be filed this afternoon, the closeouts ran a little better than 1.5% of total revenue, 1.7% to be exact. And as I mentioned in my response to Chip, I mean, we do expect to continue this execution -- the outstanding execution into 2026. So we should expect to see some project closeouts in a favorable fashion in 2026.
John Franzreb: Got it. Got it. And regarding the uptick in R&D, can you talk a little bit about maybe where the spend is going? And when do you expect to see the commercialization of some of these projects?
Brett Cope: John, it's Brett. I'll take this one first, and Mike can add color. I think we're going to -- you'll continue to see spending at this level for the next couple of years. I feel good about the progress we're making. When you bring -- we're bringing some wholesale products to market to fill some gaps in our 038 strategy on distribution. So we had some nice wins. We had some learning experiences in '25, but that's normal in the course of getting the engine back up and going and flying the plane at Altitude. I think in '26, I expect to see some products hit the market that we should see some tangible results to report back to the street. Not done, some. And I think there'll be some iterative effort that will continue on into '27 and '28 just because that's the process. But I do think we'll see more tangible results as we get through the fiscal year next year.
Michael Metcalf: Yes. And I would mention, John, just to get an appreciation of the lead time of some of these projects, these electrical distribution equipment projects. They do have a long lead time, but well better than a year after they've been tested and the like. So yes, the R&D has ticked up the last couple of years, and you should begin to see some of these projects exiting the pipeline, but they do take quite a while.
John Franzreb: Got it. Got it. And I guess in light of the capacity expansion, can you give us an updated CapEx budget for 2026?
Michael Metcalf: Well, the $12.4 million for the Jacintoport expansion, that I expect that to hit in its entirety in fiscal 2026 on top of maintenance and productivity projects that we normally execute call it, the $5 million to $7 million range, and that's what I would expect in 2026.
John Franzreb: Got it. And I might have missed this in the prepared remarks, and I apologize. But how much of the backlog is deliverable in the coming 12 months?
Michael Metcalf: About 60% is convertible in 2026.
John Franzreb: Got it. Got it. And one last question, and again, this is just a point of clarification. Data center revenue, I mean, maybe for all of fiscal 2025 as a percentage basis? And how does that comp to like 2024? Just trying to contextualize it.
Michael Metcalf: Yes. If you look at our backlog, our backlog for C&I is about 15%. Roughly half of that is today data centers. that's probably 100 to 200 basis points higher than it was last year.
Operator: The next question is a follow-up from Jon Braatz of Kansas City Capital.
Jon Braatz: Mike, just a question on the incentive comp. Was that sort of a catch-up number in the fourth quarter?
Michael Metcalf: Yes. It is, Jon. What we typically see is we will accrue based on our expected results as we progress through the year. And given the results of our results that we had this year, we did have a catch-up in the fourth fiscal.
Jon Braatz: Okay. Any -- can you tell us how much it was -- how much of a catch-up?
Michael Metcalf: Well, as I mentioned to John Franzreb a little earlier, the variable compensation of the $5 million year-over-year increase, variable compensation and compensation in general, which would include headcount adds and the like was about $3 million. And then the legal and valuation services related to the M&A activity was just under $2 million.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Brett Cope, CEO, for any closing remarks.
Brett Cope: Thank you, Nick. As you've heard from Mike and I this morning, we are very pleased with the financial results for our total fiscal 2025 financial performance. And we are very proud of the Powell team that delivered for our shareholders. The markets we serve continue to support our belief that fiscal 2026 will be another strong year for Powell. I would like to welcome our new team members from Remsdaq Limited to Powell. I am very excited to write the next chapter on electrical automation and how Powell will help drive that future. With that, thank you for your participation on today's call. We appreciate your continued interest in Powell and look forward to speaking with you next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.